Operator: Welcome to the MasterCard first quarter 2015 earnings conference call. My name is Keith, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Ms. Barbara Gasper, Head of Investor Relations. Ms. Gasper, you may begin.
Barbara L. Gasper - Executive Vice President & Group Executive: Thank you, Keith. Good morning, and thank you all for joining us for a discussion about our first quarter 2015 financial results. With me on the call this morning are Ajay Banga, our President and Chief Executive Officer, and Martina Hund-Mejean, our Chief Financial Officer. Following comments from Ajay and Martina, the operator will announce your opportunity to get into the queue for the Q&A session. Up until then, no one is actually registered to ask a question. Even if you think you have already dialed into the queue, you will need to register again following our prepared comments. This morning's earnings release and the slide deck that will be referenced on this call can be found in the Investor Relations section of our website, MasterCard.com. These comments have also been attached to an 8-K that we filed with the SEC earlier this morning. A replay of this call will be posted on our website for one month. Finally, as set forth in more detail in today's earnings release, I need to remind everyone that today's call may include some forward-looking statements about MasterCard's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance are summarized at the end of our press release as well as contained in our recent SEC filings. With that, I will now turn the call over to Ajay.
Ajay Banga - President and Chief Executive Officer: Thank you, Barbara. Good morning, everybody. In the first quarter, we had reported net revenue growth of 3%, and that's 8% after adjusting for currency. And that, combined with a decrease in operating expenses of 1%, or an increase of 3% on an FX adjusted basis is what helped us drive EPS growth of 22%. And that number is 29% when adjusted for currency. So as we expected, and I guess no different from other large global companies, FX is having a noticeable impact on our results and especially as the Euro and Real both have depreciated about 18% against the U.S. Dollar versus this time last year. That is last year's first quarter. However, our EPS growth continues to be strong, both on an as reported and an FX adjusted basis. So as usual, let's begin with a look at some of the current underlying global economic trends, and let's start with the United States. Our SpendingPulse data showed that U.S. retail sales growth ex-auto was 1.1% in the first quarter. And that's down from the fourth quarter growth rate of 2.9%, and that deceleration continues basically to be due to lower gas prices. If you were to exclude auto and gas, retail sales growth was 5.1% for the first quarter versus 4.1% for the fourth quarter, and that shows a healthier growth rate. So what I think is happening is that consumers are only using a small portion of their savings from gas to buy new goods and services. Rather, what they are doing is using those savings from gas to increase their personal savings rate which looks like it's climbed to the highest level since December 2012. And they're also probably using it to pay down some debt and therefore, any additional consumer spend has not been enough to make up for the lower gas spending. However, underlying economic indicators have remained steady. Unemployment levels are stable. Consumer sentiment is tracking upwards. So when you look at our U.S. business, lower gas prices had an impact of about two percentage points on our U.S. GDV growth rate, which is slightly greater than the one percentage point headwind we saw in the fourth quarter. GDV growth, excluding gas, and processed transactions, were essentially the same as last quarter. In Europe, the environment there is showing signs of improvement. And across the region, consumer confidence, economic sentiment, unemployment levels have all slightly improved over the prior quarter. Consumer confidence in the U.K. has reached a 13-year high in March. U.K. retail sales also continue to gain momentum with SpendingPulse data in the U.K. showing that first quarter retail sales growth of 3.8% is up from the 3.6% in the fourth quarter. And MasterCard's total European volume growth for the first quarter was in the mid-teens, processed transaction growth in the low 20s percent, very similar to the last quarter. Latin America continues to be challenged economically. In our first quarter SpendingPulse data for Brazil showed retail sales growth basically flat, and that's down from the almost 1% growth in the fourth quarter. As the Brazilian economy settles into some form of recession and unemployment levels are continuing to rise. Lower oil prices are also slowing Mexico's economic recovery, but there, consumer spending has held steady. And the region's annual GDP growth is now expected to be around 0.8%, and that's down slightly from the earlier projections of 1%. But despite those challenges, our business in the region remains solid. First quarter GDV and processed transaction growth is in the mid-teens, which is the same as last quarter. In Asia Pacific, business sentiment kind of held steady in the first quarter, led by the continued optimism of Indian companies about economic reforms but weighed down by the Chinese economic slowdown. Consumer confidence across the region is still high despite some recent declines, and our business in the region is continuing to do well: GDV growth in the mid-teens the same as last quarter, processed transaction growth in the low 20s, down slightly from the last quarter. So overall, when we put this all together, economic environments in the U.S. and Europe are showing signs of improvement but challenges still remain in some areas of Latin America and the Asia Pacific region. Our business continues to be impacted by the strong U.S. dollar, but the underlying fundamentals of our business remain strong, and we run the business for those underlying fundamentals. And that's what's going to help us navigate through these economic and dollar challenges. So before we go to our business highlights, let me quickly update you on the European regulatory matters on Russia and on China. So I'll start with the European registration related to card payments. The European Parliament and the Council of Ministers have signed the final text. We expect official publication of the legislation in the next couple of weeks. Interchange caps will become effective six months later, so sometime towards the end of this year. And all other parts of the legislation will apply starting 12 months after the effective date, so we're talking mid-2016 for that. In Russia, we've actually successfully migrated our local card transactions to the new domestic NSPK platform by the April 1 deadline, and we were the first network to do so. We met the requirements of the Russian legislation. We've had no service disruption to card holders and we're now switching domestic transactions through NSPK, but we're continuing to provide all of the value added services to our customers through our direct capabilities. In terms of the financial impact to our business, no change in our previous estimate of something less than $50 million on an annualized basis of additional costs. And last week, as you all read, China announced that international payment companies like MasterCard will be allowed to establish domestic switching operations in China. Obviously and clearly a large opportunity for us over the next long-term decade or whichever way you look at it, it's a great opportunity. It's a large marketplace, and we are keen to play there, and we are encouraged by the announcement. We want to switch domestic transactions in China as soon as possible. We want to leverage the investments we've already made in that market. But having said that, there are a number of steps that need to be completed before we reach that point. Detailed regulations are yet to be issued. Some combination of the People's Bank of China and the China Banking Regulatory Commission will put out those detailed regulations over the next period of time. It's unclear to me exactly when those will get published. We will need to then submit a license application. Clearly we're already preparing that, so we can go with that as soon as the regulations are issued. Then we'll need to work with the government, get that application approved, satisfy the detailed requirements of the regulations. So, we don't really know how long that process will take for sure. But we do know some of the requirements already today. So there is, for example, a capital commitment required to the tune of roughly $160 million. We also know we'll need to provide some form of on soil switching. And as you know, we have distributed network processors. But in addition to those, we have been investing on soil in China over the last period of time. We will need to assess the extent to which those existing investments already satisfy what regulations need and do whatever else is required to meet their needs. And then we will be in the right place to be able to be fully capable of taking advantage of these new domestic switching regulations. So all that said, the full requirements will only become clear when these detailed regulations are issued. I kind of think that we should expect to be in a position to switch in China sometime towards the end of 2016 and obviously, if it moves more quickly, that's great for us. But in the meantime, there's a lot of people in the company working very hard to get ready for this opportunity to take advantage of it as soon as we possibly can. So recent business activity. During the quarter, we signed a number of new agreements and renewals supporting the expansion of our business around the world, and let me give you a few examples. The first, we enhanced our global partnership with Citi. Citi, as you know, is the world's largest credit card issuer. We've now got a new and expanded ten-year agreement to move all their proprietary consumer credit and debit card portfolios to MasterCard. In Brazil, we signed a new 20-year agreement with Itaú, and that further strengthens our long-term strategic relationship with the institution that is today our largest customer in the Latin American region. And this agreement increases our share of Itaú's credit, debit and prepaid portfolios. It gives us exclusive rights to switch all of their domestic and international transactions, allows us to create a new payment network in Brazil jointly with Itaú and us. Of course that's subject, the last part, is subject to getting regulatory approvals. But overall, we are very pleased with this opportunity to be a stronger partner of both Citibank's and Itaú's. And meanwhile, we signed new agreements with Barclaycard in the U.K. We're converting a significant part of their commercial card business to MasterCard. In Ireland, we signed with the Bank of Ireland to convert their commercial and consumer credit portfolios to MasterCard. I think these deals should help us substantially increase our share in the commercial credit market in the U.K. and our overall credit share in Ireland. In New Zealand, Westpac and Air New Zealand are going to convert their Airpoints reward credit and commercial programs to MasterCard branded cards, so developments in different parts of the world. Meanwhile, we're continuing with all of our innovation efforts across the digital space. Starting with MasterPass, last quarter, I mentioned our MasterPass platform was live in 16 countries around the world. And I'm very pleased to share that we've since added Korea to the list of live markets as well as more than doubled our global merchant acceptance of MasterPass to nearly a quarter of a million merchants. And there are more in the pipeline. It's like one of those ads you hear on TV that says, wait, there's more to come. So some specific examples of our progress include we announced a three-year strategic partnership and relationship with McDonald's in the UAE and across 14 key markets in Middle East, Africa and Europe. And what we're doing with them is introducing contactless payments in their restaurants and enabling MasterPass for online ordering. Another area where MasterPass is gaining momentum is transit. We just recently announced a global partnership with Cubic Transportation Systems. They're a leading provider for smart city transit solutions in London and Chicago and other such cities. As part of that agreement, MasterPass will be integrated with Cubic's NextWave ticketing and journey planning app, which really means we'll have to accelerate conversion of cash payments in transit into these digital payments. So quick service restaurants, the McDonald's example; transit systems, the Cubic example, gives us two of what we are doing to extend our reach in cash strongholds. A couple other examples are all with mobile point of sale, remember that mobile is not just about allowing consumers to make payments with their phones. It actually, an even more interesting option is to involve expanding acceptance to merchants who previously had no ability to take electronic payments through standard POS terminals. We've had a number of those mobile point of sale rollouts this quarter. In Nigeria, we partnered with First Bank of Nigeria and with Guaranty Trust Bank. We've got MPOS devices to micro, small and medium businesses to accept card transactions for the first time. In Hungary, we partnered with the insurance company Allianz to provide their sales agents with an MPOS device that accepts mag stripe, chip and contactless cards. So basically their clients don't need to make cash payments at a post office or through a bank transfer. They can use their card and the MPOS device that's with the insurance agent. So continuing on the mobile front, we've all watched the launch of Apple Pay with great interest. And as you know, they were the first digital giant to enter that space. And as you now know, their new Apple Watch has Apple Pay capabilities built into it. But in March, we also announced that we're working with Samsung to enable Samsung Pay, which will soon launch in the United States. You've probably heard us talk about the fact that we are technology agnostic when it comes to mobile and digital payments, and we are determined to support implementations based on different market models. One of the first implementations of the cloud-based mobile solution is the Commonwealth Bank of Australia, who just recently launched their Tap & Pay mobile payment solution across Android devices. Another example of a different mobile model is our recently announced agreement with the Egyptian government where we will extend financial services to more than 54 million Egyptians by providing the platform that links their national ID with the first national mobile wallet. And clearly the program has a financial inclusion aspect, but it's much broader because it provides every Egyptian citizen with the tools to electronically receive government payments and a companion card to be used in purchases, bill payments, domestic remittances. And finally, a word about our recent announcement about the intention to acquire Applied Predictive Technologies. APT is a leading cloud-based analytics company. Their platform basically enables companies across a number of industries to use their own data to accurately measure the profit impact of marketing, of merchandizing, of operations, of capital initiatives. And last quarter we talked about the acquisition of 5one, a retail consulting and analytics firm. And by adding APT's capabilities with 5one's, what we're trying to do is advance our ability to deliver differentiated products to merchants. Our analytic and consulting capabilities in our own shop, along with our global footprint, will allow for the expansion of APT's platform and of course 5one's. And that's a win-win for both of us. So we expect to complete this APT acquisition sometime over the second quarter. With that, I'm going to turn it over to Martina for an update on our financial results and operating metrics. Martina?
Martina Hund-Mejean - Chief Financial Officer: Thanks, Ajay, and good morning, everyone. Let me begin on page three of our slide deck, where you can see the difference between as reported and FX adjusted growth rates for this quarter. Although the Brazilian Real had some impact, the differential was primarily driven by the Euro U.S. Dollar exchange rate. So here you can see EPS growth continues to be strong at 22% on an as reported basis and 29% after adjusting for currency. Continued revenue momentum, good cost control and executing on our tax strategies and the current share repurchase program all contributed to that performance. I'd like to point out a few items here, and then I'll talk about the major P&L line items in the subsequent slides. So first of all, acquisitions that we made in 2014 drove $0.02 of dilution. Second, you can see the tax rate was favorable at 23.9% in the quarter, primarily due to our continued focus on initiatives to better align our tax structure with our business footprint, as well as a discrete item that resulted in our ability to claim foreign tax credits in the U.S. this quarter. Third, share repurchases contributed $0.03 per share. During the first quarter, we repurchased 11 million shares at a cost of about $947 million. And through April 22nd, we repurchased an additional 2.7 million shares at a cost of approximately $240 million. And we now have 2.8 billion remaining under the current authorization. Lastly, cash flow from operations was a little over $911 million. We ended the quarter with cash, cash equivalents and other liquid investments of about $5.9 billion. So let me turn to page 4. Here you can see, as usual, our operational metrics for the first quarter. Our worldwide gross dollar volume, or GDV, was up 12% on a local currency basis, down slightly from last quarter. Overall, our U.S. GDV grew 7%, made up of credit and debit growth of 5% and 8% respectively. Total U.S. GDV was about 1% down from last quarter, primarily due to the increased headwinds from lower gas prices. Said differently, this means that gas added two PPT impact in the first quarter of 2015 versus a one PPT impact in the fourth quarter of 2014. Outside of the U.S., volume growth was 15% on a local currency basis, about the same as last quarter, and primarily driven by Turkey, Sweden and Canada. Cross-border volume, you can see, grew 19% on a local currency basis, and that is the same of what we saw in the fourth quarter, which continues to be primarily driven by Europe. Growth in Europe was in the low 20's, with the U.K., Germany, Italy and Sweden as key contributors to the growth. On page five, you see processed transactions grew 12% globally to 11 billion, and we continued to see double-digit growth in most regions. Growth increased from the 11% that we saw in the fourth quarter primarily due to Europe, and it was again driven by Sweden, Russia, Poland and Netherlands, similar to last quarter. Globally, the number of cards grew 8% with 2.2 billion MasterCard or Maestro branded cards. And now turning to page six for highlights on a few of the revenue line items. Net revenue growth was 3% as reported or 8% when you adjust for currency. This differential is due to the currency headwinds primarily from the Euro U.S. Dollar exchange rate. Additionally, the impact of local currency exchange rates was about 2 PPT headwind. Acquisitions also contributed a little more than 2 PPT to the net revenue growth. And after you exclude the impact of both local and functional currencies as well as the impact of acquisitions, we saw underlying net revenue growth of 8%. This reflects the underlying volume performance we expected as well as a higher level of rebates and incentives that I talked about on our last earnings call. Specifically, rebates and incentives grew 25%, in line with our expectations, primarily driven by the front-loaded impact over the life of the contract from certain customer renewals, which Ajay mentioned in his comments. Now let me look quickly at the other individual revenue line items on an FX adjusted basis. Domestic assessments grew 8%, while worldwide GDV grew 12%. This 4 PPT gap is primarily due to the impact of local currency somewhat offset by pricing. Cross-border volume fees grew 9%, while cross-border volume grew 19%. Of the 10 PPT gap, the majority is due to a higher mix of intra-Europe activity as well as some local currency impact. Transaction processing fees grew 13%, primarily driven by the 12% growth in processed transactions. And finally, other revenues grew 29%, which continues to be driven largely by contributions from our Pinpoint acquisition as well as our Advisors business. Moving on to page seven, you can see that total operating expenses decreased 1% in the quarter, but increased 3% on an FX adjusted basis. Overall, M&A activities contributed 9 PPT to total expense growth. But let me spend a minute on G&A, which grew only 1% year-over-year and explain how that happened. First, we continue to organically invest in our strategic initiatives while managing our expenses very carefully. As a result, the underlying level of G&A expense grew 2 PPT this quarter. Second, acquisitions added 10 PPT to this growth quarter, this is in the G&A line, as we made a number of acquisitions in the second half of last year which haven't yet lapped into our base run rate. However, these factors were offset by two FX related gains that were $69 million higher than last year or 11 PPT, and thus lowered overall G&A expense growth to 1%. The first was FX gains related to our normal hedging activities, mainly due to the appreciating U.S. Dollar. And the second was a balance sheet remeasurement gain primarily related to the devaluation of the Venezuelan Bolivar. With that, let me turn to slide eight, and let's discuss what we have seen in April through the 21st. Most of our business drivers are similar to what we experienced in the first quarter. The numbers through April 21st are as follows. Starting with processed volumes, we saw global growth of 10%, similar to the first quarter. In the U.S., our processed volume grew 4%, the same as what we saw last quarter, including roughly a 2 PPT impact from lower gas prices. Processed volume outside the U.S. grew 16%, about 1 PPT lower than the first quarter, with growth of mid to high teens in each region. And globally, processed transaction growth was 12%, and that's similar to what we saw in the first quarter, with double-digit growth in all regions except the U.S., which grew in the mid-single digits. And with respect to cross-border, our volumes grew at 17% globally, down 2 PPT from our first quarter growth. While the U.S. saw somewhat higher growth in April, most other regions saw a deceleration. Looking ahead, let me start with some commentary about full year 2015. Given the continued strength of the U.S. Dollar impacting many U.S. multinationals, including us, I am going to start by summarizing our thoughts about FX. And, remember, currency impacts us in two ways. First, since the beginning of the year, the significant depreciation of the Euro and the Real, the Brazilian Real versus the U.S. Dollar, has increased the impact of the functional FX translation since my January commentary. If the rates for our functional currencies remain similar to where they are today, that is the Euro trading at the 1.09 level, and the Brazilian Real at the 2.94 level for the rest of the year, the net impact of the Euro and Real would be a 6 PPT to 8 PPT headwind, mostly from the Euro, actually, to our as reported results for the full year. And it's depending on what line item we are talking about, so revenue, net income or EPS. Second, we have the impact of local currency rates relatively to the functional currencies, and we continue to expect some net headwind throughout the year, both to revenue and the bottom line. And based on the current rates, this is still likely to be in the 2 PPT range, similar to our estimate in late January. The impact of this is already included in our FX adjusted guidance. At current FX rates, both of these impacts will provide a headwind of about $700 million to net revenue and about $300 million to net income for full year 2015. So with that as a backdrop, let me get into some specific P&L line items. Our underlying business remains strong; however, some components of our 2015 outlook have changed due to the impact of FX, as I just talked about, and our latest acquisition, Applied Predictive Technologies or APT. On an FX adjusted basis, we continue to expect high-single digit net revenue growth for 2015, including roughly 2 PPT from our M&A transactions. And we're seeing good traction from many of our recent portfolio wins and new product initiatives. However, revenue growth will be impacted by some items specific to 2015, which we highlighted back in January. The first, as we have already seen in the first quarter, a couple of significant contract renewals that provide the foundation for future growth come with more front-loaded incentives over the life of the contract than our typical agreements. And the next three quarters will reflect that too. Second, while the Chase conversion to a competitor is essentially now complete, we will continue to see the lapping impact over the remainder of 2015. So on an as reported basis, the net revenue growth rate will now likely be in the low-single digit range as a result of the stronger FX headwinds than we forecasted at the beginning of the year, primarily from the Euro functional translation. And based on the current FX rates, this would be about a 6 PPT impact. Moving to rebates and incentives, let me address some questions we've been getting about what we mean by front-loaded incentives. This is a reference to incurring more incentives in the earlier years of a contract. Also, with the recent deal signings, we now expect full year 2015 rebates and incentives growth to be similar to what we saw in Q1 with a somewhat higher growth rate in the second quarter. Overall, we now project the growth rate for total operating expenses for full year 2015 to be in the mid-single digits on an FX adjusted basis. And this continues to be predominantly due to the roughly 7 PPT impact from our announced M&A activities with more of that impact occurring in the first half of the year. However, as reported, expense growth will now likely be in the low-single digit range after considering a roughly 4 PPT tailwind from the Euro and the Real translation. Let me give you an update on potential dilution from M&A activities. With the expected addition of APT by the end of the second quarter, we now project total EPS dilution will be about $0.11 to $0.13 for full year 2015. Less than half of the expected dilution is due to the amortization of acquired intangibles. As I said in the last quarter, you should assume a full year 2015 tax rate of about 28%. That has not changed, but it's due to the continued benefits we expect from the tax initiatives I discussed in our January earnings call. And given all of the detail I just went through, let me just step back and summarize a bit here. We continue to expect solid fundamentals to drive our underlying business in 2015, and that's despite the mixed economic environment as well as the more significant headwinds from FX than we expected back in January. As you can see, we continue to sign customer contracts, and we continue to invest in the right strategic areas while managing our expenses prudently. Finally, let me move on to our long-term performance objectives in 2013 to 2015 for that period, which remain unchanged from what I said on our year-end earnings call back in late January. Given our expectations for 2015 revenue growth, we expect to deliver at our low end of the 11% to 14% net revenue CAGR range. We continue to expect at least 20% EPS CAGR for the three-year period due to continued expense management as well as benefits from our lower tax rate and share repurchases. And we remain committed to our annual operating margin target of at least 50%. Just remember, these objectives are on a constant currency basis, and they do exclude our 2014 M&A activities as well as any new ones that might occur this year. As far as rolling our performance objectives forward, again, nothing different from what I said in January. The overall growth prospects for the payments industries has not changed. The underlying drivers of our business remain solid, and we are expanding our reach in areas that we're strategically targeting, such as processing, loyalty, information services, and all things digital. We will provide you with our new long-term objectives before the end of this year, most likely at our Investor Day in September. Now let me turn the call back to Barbara to begin the Q&A session. Barbara?
Barbara L. Gasper - Executive Vice President & Group Executive: Thanks, Martina. We're now ready to begin the question-and-answer period. In order to get to as many people as possible, we ask that you limit yourself to a single question and then queue back in for anything additional. Keith?
Operator: Thank you. We will now begin the question-and-answer session. [Operation Instructions] Your first question comes from the line of James Friedman from Susquehanna. Your line is open.
James E. Friedman - Susquehanna Financial Group LLLP: Hi. Thanks. I wanted to ask Ajay about the APT acquisition. I just did that three-minute summary on their website. It's very helpful. I was wondering how you'll sell it. Is that going to be sold through MasterCard Consulting? Or will that be embraced by your bank partners for resale into the channel?
Ajay Banga - President and Chief Executive Officer: It depends on which kind of product you're referring to. APT has products that go to merchants, they go to banks, they go to consumer product companies, depending on what kind of need for analytical capability that company has. A large part of their current client base is merchants, in which case they have their two methods of getting out there. One is their own sales force which essentially reaches merchants and embeds the analytical capability like a software as a service provider, a SaaS provider, on the computer screens of individuals in the merchant management system. And the other way, of course, will be through our own sales force in our Advisors and information services business, where we believe we can add value to what they're doing. So the idea is to use both sales forces but to embed the capability in the client's end use system by embedding the software as a service approach to the business. That's what APT does. It's a little different from the way we do our current data stuff, which tends to be more bespoke, engagement by engagement. And that's the difference in the two models. And I think there's space for both in this growing big data market.
James E. Friedman - Susquehanna Financial Group LLLP: Thank you.
Operator: Your next question comes from the line of Craig Maurer from Autonomous. Your line is open.
Barbara L. Gasper - Executive Vice President & Group Executive: Craig? Craig? Are you there?
Craig Jared Maurer - Autonomous Research US LP: Yeah. Sorry about that. Good morning.
Barbara L. Gasper - Executive Vice President & Group Executive: Good morning.
Craig Jared Maurer - Autonomous Research US LP: I had a quick question on China. When I was there and met with management there, they had indicated that network economics were similar to what MasterCard sees globally. And this was driven essentially by their hope to go public and want to be comparable. Can you confirm if that's the case, because it's a little hard to actually confirm that?
Ajay Banga - President and Chief Executive Officer: Yeah. So, I like the fact that you started by saying a quick question on China. You must be the only guy who thinks that China is answerable in quick questions, right? But, I – Craig, the fact is that the data around China and the current economics of the domestic payment system, which is what you're asking about, is opaque, because there is no public data obviously available. What I do know from all of the many trips I've been making there now for the better part of 10 to 12 years is that interchange rates on domestic transactions tend to be lower than the interchange rates that you would see on the average – on the average across the world, in both credit and debit. You need to know that credit domestically is much smaller than debit today. And, in fact, the largest use of payment cards domestically in China today is to take out cash from an ATM. And an even larger use is for the cards to remain dormant. So this is not a marketplace that is ready and spending actively on cards across all categories. It's a marketplace with a very large domestic card issuance with a fairly large dormant card base with what is used being used more for taking out cash at an ATM or a bank branch rather than a point of sale use, with lower credit use than debit. It's a typical early stage electronic payments developing market with one dynamic which is that interchange rates are lower than you would normally have expected. Network economics depend on what we are able to strike as deals with the different issuers and merchants. And I'm going to reserve my judgment on that until I get my chance to really get into those deals because right now we don't have those deals. Our deals tend to be on cross-border use of these cards, both outward and inward. And so we're going to have to wait and see how that goes. But there's no denying one, the enormous volume you can get. And if your P&L is constructed like ours where we have a relatively low variable cost per transaction, that is an attractive opportunity. There's no denying that. And you'll need to do a lot of work with issuers, you'll need to do a lot of work with merchants and acquirers to drive acceptance. There's a lot of things to be done over the next few years, but I see it as a really large and interesting opportunity for companies like ours.
Craig Jared Maurer - Autonomous Research US LP: Thank you.
Operator: Your next question comes from the line of Sanjay Sakhrani from KBW. Your line is open.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Thank you. Good morning. I guess I had a question on China, but Ajay just answered it. But secondly, you talked, Ajay, about the mixed economic signals you're getting. Could you just talk about how you're seeing the economy develop in the United States and abroad? Obviously it's more challenged abroad, but even in the U.S. it's been quite sluggish. Could you just provide any perspective on that? And just, I'm sorry, one question for Martina. So you're expecting 20% growth in rebates and incentives on an absolute basis for the year. I just want to clarify that. Thank you.
Martina Hund-Mejean - Chief Financial Officer: Yeah. Let me just take that. All I said is that you can extrapolate from the growth in the first quarter, which was 25% FX adjusted for the rest of the year. The only comment that I made in addition to that, that in the second quarter you should see somewhat higher growth for rebates and incentives, and that's just as a fact of how agreements are coming to fruition and flowing into a particular quarter.
Ajay Banga - President and Chief Executive Officer: And, Sanjay, back to your question on economics, we talked a little bit about where the U.S. is, and I feel like consumers are optimistic because they're seeing savings from the gas price, after all, gas prices are down substantially and if you did an average individual households math, you probably are pulling between $8 billion and $10 billion out from the spending on gas, which could be available to go into other avenues. So they're optimistic, because they feel that money in their pocket. What they're doing with it is they're paying down some debt, which you can see in the numbers on consumer debt across the country, both in revolving debt but also in personal unsecured loans, and also, to an extent, in mortgages. And then you can see that some of the money is clearly being used to bump up personal savings rates. And personal savings rates were, I think, in March as high as 5.8%. They've gone down to 2% six, seven months ago. As you remember, just after the crisis, they were at 6% and 7%. So I don't know that 5.8% is a bad thing for the country long term by the way, probably a good thing, but I think what's going on here is that not all the money is coming out into goods and services spending. So with a company like us, because we don't really get any benefit out of a higher spending rate directly, we don't get any benefit out of a higher savings rate, I'm sorry, directly, we also don't get any real benefit out of a lower pay down of debt, we don't get any saved benefit. We get benefit when they spend. And overall spending is not growing in the form that you would see it once you added gas back in. That's what we're seeing. Now, there's an extra nugget into this which is that luxury goods sales, and you can see it in the results on a number of the luxury goods retailers, Coach recently, others like that, their sales are not growing the way they were six, eight months ago. And most of that, I think, is caused by the fact that inbound tourists' arrivals into the U.S. and their spending patterns, given the relative strength of the Dollar to the Euro, the Japanese Yen, the Brazilian Real, the people who are spending, of course, the Russians aren't coming in as much as they were some time ago, all of that is impacting luxury goods spending, which also, by the way feeds into the total retail spend number. So that's a little extra digging, probably more than you wanted, but that's what's going on. Now, I don't see this as a long-term issue, actually, not even a medium-term issue. I think you'll see tourism probably improving over the next few months. I think you'll see Americans travelling out in the summer. I think you'll see others coming in. And I think we're going to look at a somewhat different pattern of consumer spending over the next three to six months just because underlying consumer sentiment is positive. So that's how I feel about it.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Thank you.
Barbara L. Gasper - Executive Vice President & Group Executive: Next question, please.
Operator: Your next question comes from the line of Smitti from Morgan Stanley. Your line is open.
Smittipon Srethapramote - Morgan Stanley & Co. LLC: Yes. Thank you. I just want to follow up on the topic of tokenization. Can you share with us what you're hearing from your various partners about the tokenization service rate card that you guys published last year? And with the increased usage of tokenization, many merchants have also been sort of talking about trying to create, trying to drive the creation of a new interchange category. I just wanted to get your thoughts on that also.
Ajay Banga - President and Chief Executive Officer: So the first one, I mean, the rate card, frankly, there's no discussion right now, because as we've all done, including our competitors, we've all said there is no implementation of that rate card until 2016, at least, in January. That's kind of what we've all said. The idea right now is to ensure tokenization gets adopted in the market. And remember, even if we do something in January with the tokenization rates, right now tokenization is only going in for transactions over the phone, over mobile phone kind of transactions. And as you know from your own research and details on this, that's still a small part of total expenditure and transactions in the United States. So I just would like to put that genie into its bottle in where it belongs. It's very important. It's very critical for securitizing, or for securing digital transactions, no doubt. It's got an implementation time line which is going to take some time for it to become more ubiquitous than just the phone-based transactions today. That's the context I'd like to put it in. We are very committed it to. We're investing a very large sum of money in ensuring our capabilities in it. We are investing money in rolling it out into other markets overseas. And different people claim different dates when they're going to reach the market. I would tell you discount all that until you see it in the market. This is not an easy thing to get done. It's not an easy thing to roll out. So we're working very hard on that. As far as the actual adoption by merchants of different, or the request by merchants to think about different interchange rates are concerned, look, at the end of the day there's card not present rates and there's card present rates. And both have been applying for a period of time. If digitization were to become ubiquitous, would there be a change in those two buckets of rates? Would there be a third? Would one move down, one move up or would there be four, five different buckets? That's just speculation right now. We are far away from a stage where tokenized transactions comprise an adequate percentage of the total to drive great changes in the marketplace, other than the excitement around finally getting a really secure system for digital transactions.
Operator: Your next question comes from the line of Jason Kupferberg from Jefferies. Your line is open.
Jason A. Kupferberg - Jefferies LLC: Thanks, guys. Can you give us a sense in terms of timing when these incremental volumes from the Citi renewal, when those will migrate to MasterCard? Will that timing vary by geography? And then can you just clarify if you're still expecting 1% pricing lift in the full year guidance?
Martina Hund-Mejean - Chief Financial Officer: Jason, first of all, the Citi volumes will be migrating over a number of years, okay? Every region will be a little bit different, and you will just see that coming in to our baseline over time. Secondly, in terms of the pricing, we really didn't give any pricing guidance. We said that our overall three-year guidance has a very small part of guidance – pricing assumed, so but we didn't give anything specifically for this year. And in fact, when you look at this quarter, I said there was a little bit of pricing in the domestic assessment but when you look at overall revenues it was minimally impacted by any pricing actions.
Operator: Your next question comes from the line of David Hochstim from Buckingham Research. Your line is open.
David S. Hochstim - The Buckingham Research Group, Inc.: Good morning. Could you just talk about G&A expense, and as you look out over the course of the year where are you still investing and where you might have growth? And then I wonder if, Martina, you could clarify again the charge for the Bolivar?
Martina Hund-Mejean - Chief Financial Officer: Yeah. So first of all, on G&A, as I said, on an FX adjusted basis for full year 2015 you should expect a mid-single digit kind of range. And that is predominantly driven by the 7 PPT impact from all of our announced M&A activities. So of course we are going to continue to organically invest in all of our strategic areas that are called out: the processing area, the loyalty area. You just saw that we did the acquisition in the information services area. So of course we are going to do that, but we are going to do that with a very astute and careful expense management that we have put into the company. So that's all put together. It goes – gets to that mid-single digit growth number for the year. In terms of the Venezuelan bolivar, so a couple of things on that. First of all, part of our business in Venezuela is in Bolivars, part of our business in Venezuela is in U.S. Dollars. The business that we have in Bolivars in Venezuela is done as such that we can't take the Bolivar out of the country, right? The country has currency restrictions. So what we have engaged, like many other multinationals, into natural hedging strategies that allow us, over time, to be protecting the investment that we have in this country. Part of that hedging strategy involves for us to actually take up a loan some time ago where we bought some real property in the country. And what happens when you have a devaluation of that currency, of the Bolivar, is you're actually having to devalue that monetary asset, the loan, and that results in a gain. That gain is basically buffering the impact that we will be having from that Bolivar devaluation on our revenues for the year. That's about a $40 million impact to our top line that's all included in the discussions that I had with you this morning for 2015 revenues. But that's how this works.
Ajay Banga - President and Chief Executive Officer: The thing I would add to that is on the expense thing, just to make sure you got it right. What Martina was talking about is that total operating expense for the full year 2015 will be in that mid-single digit number on an FX adjusted basis. On an as reported basis, it will be in the low single digit range. That's what she was referring to just now, David, when she was talking about the numbers to you.
David S. Hochstim - The Buckingham Research Group, Inc.: Okay. And the $40 million is for the year, not the quarter?
Martina Hund-Mejean - Chief Financial Officer: That is for the year.
Ajay Banga - President and Chief Executive Officer: Yeah.
David S. Hochstim - The Buckingham Research Group, Inc.: Okay.
Ajay Banga - President and Chief Executive Officer: And that's all factored in. In fact, what we tried to do in the morning was tell you that our FX adjusted view of the year has not changed a great deal, other than we've got a new acquisition which will have what it has on our impact. But basically FX itself has changed quite dramatically from where we were in the middle, early part of January. It was already a dramatic change by then. It's moved further and that's what we were trying to lay out for you guys as you think through the next three quarters.
David S. Hochstim - The Buckingham Research Group, Inc.: Okay. Thanks.
Operator: Your next question comes from the line of Moshe Orenbuch from Credit Suisse. Your line is open.
Moshe Ari Orenbuch - Credit Suisse Securities (USA) LLC (Broker): I guess maybe taking both of these items together, both your kind of investment and expenses related to the acquisitions and the rebates and incentives for these deals, could you talk a little bit about the payback period for those two things and how we can see that impact kind of revenues in future years?
Martina Hund-Mejean - Chief Financial Officer: Yeah. So first of all, on the M&A investments, what we are typically targeting is – so, first of all, we're looking at every M&A transaction from a discounted cash flow analysis, right? And we typically like to see a payback over a two to three-year period from a cash flow point of view. That does not necessarily mirror the accounting view simply because accounting often is done differently than what you'd see coming through in the cash. But, again, and we said that a number of times publicly, we try to hope to get to dilution impact of no more than two years. And so you should be seeing these acquisitions coming to fruition, the 2014 acquisition sometime later in 2016, as well as the 2015 acquisitions that we're doing, which APT is the big one at this point in time, you would be seeing that coming through later in 2017. So that's how we think about acquisitions. From a rebates and incentives point of view, I just have to remind you every deal is different. All right? We have a thousand of deals. Every deal is different. Every year we're writing hundreds of deals. When you look at some deals, you can get actually a relatively quick payback. It could be in the six, seven, nine-month period, but it also depends when you have cards converting or whether you have that portfolio already, and you're just making more out of that portfolio, i.e., you're encouraging more volume and transactions coming on. Some of the bigger deals might have a longer payback, because you have to do certain investments in order to encourage that portfolio to behave the way that you would like it to behave. So, Moshe, I have to tell you, it's a fairly wide range in terms of the payback calculation.
Ajay Banga - President and Chief Executive Officer: And every deal has a payback calculation, obviously, but it's not something you can generalize from easily. And I think the second part I'd add to the conversation earlier about acquisitions because I have been asked this once or twice, remember that when we talk about our guidance ex-acquisitions, by the time the second year of a deal is complete, that acquisition is in our base. It is part of what we run. So I'm not asking for a way to ex-acquisitions into infinity. It's two years for any acquisition. So Martina said something in this conversation about the 2014 acquisitions are what she's excluding from the guidance, because 2014 and 2015 are within that two-year period. The deals we did before that, Access Prepaid Worldwide, which was taken from Travelex, or DataCash, which we bought, or others of that type are all in our base. And frankly, without Access Prepaid Worldwide, I doubt we would have achieved the kind of success we've achieved on our prepaid business over the last five years, where we have gone from a small market share to one of the largest players in the business around the world today. So we get the thing back, and it's just that we try to make sure you understand that our guidance is excluding them for two years, because I don't know what deal I'm going to do when I give you the guidance for the two years. That's all I'm trying to do.
Moshe Ari Orenbuch - Credit Suisse Securities (USA) LLC (Broker): Got it. Thank you.
Operator: Your next question comes from the line of Darrin Peller from Barclays. Your line is open.
Darrin D. Peller - Barclays Capital, Inc.: Thanks, guys. Look, I just want to start off, I mean, Martina, as I think you mentioned earlier, front-loading incentives such that you have more in earlier years. Is it fair to assume that the growth of incentives or maybe just the incentive number as a percentage of total gross revenue could actually drop in 2016 or 2017? And then just to Ajay, when looking at the pipeline, are there potential contract renewals or incremental wins that are actually large enough to also move the needle, like Citi or Itaú just did?
Martina Hund-Mejean - Chief Financial Officer: All right. Darrin, let me take your first question. You know, every quarter, every year, we are signing agreements. And they're all incremental to our base. So if you were to see a drop in the rebates and incentives, quite frankly, I would be worried about it. You only see a vibrant business if we continue to add to what we need to do from a stock point of view on the deal side. And that will involve, generally, and you've seen it over the last seven years, adding to rebates and incentives. The other thing that you need to remember how we construct our deals. Our deals are constructed in such a way that we give higher rebates incentives for those clients who deliver more volume and transactions to us. So as volume and transactions go up, mostly on the volume side, a little bit less on the transaction side, you will be naturally seeing the rebates and incentives line floating up.
Ajay Banga - President and Chief Executive Officer: So you'd also asked a question about will the 25% growth rate be something that stays over the next two years through quarters because there's bunching here, will that growth rate reduce in the future. It's very tough to say that to you because of what Martina just explained because there's deals flowing through and that connects to your second question about do I see deals coming over the next two or three years, I sure as heck do because otherwise I wouldn't have anything to do for the next three years.
Martina Hund-Mejean - Chief Financial Officer: That would be a real problem, quite frankly.
Ajay Banga - President and Chief Executive Officer: That would be a real problem. I'd drive all of these guys crazy. But the fact is that I really can't tell what you those are at this stage. No idea. It'll come when they come. But the good news is I would encourage you to think about rebates and incentives as good cholesterol, where you get a deal done and if it's front loaded as in a couple of these, that's actually also not a bad thing today. Now accounting could change and accounting could cause lots of headaches for everybody about front loading versus later loading, and, frankly, I don't – I try to stay away from all the accounting stuff when you do this and stay with the logic of what a customer is looking for and what our relationship with that customer will be and what the franchise value of that deal will be and what the revenue growth over the life of that deal will be and what the profitability over the life of that deal will be and what the extra value added services we sell into that client over the life of the deal will be, those conversations I'm happy to have every day.
Operator: Your next question comes from the line of Bryan Keane of Deutsche Bank. Your line is open.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Hi, guys. I just want to ask about the long-term revenue objectives. I know you talked about the low end. But if you look at the current quarter, obviously if you ex- out currency and acquisitions like the long-term objectives do, it's running below that. Just trying to figure out the gap, is that gap 100% due to economy? And then let me just add me one more, Barbara, I apologize, just on the European interchange regs, now that they are finalized, is there any different impact you guys think we should know about for the model going forward? Thanks so much.
Martina Hund-Mejean - Chief Financial Officer: First of all, on our 2013 and 2015 revenue objectives, yes, we're going to come in at the low end of the range. We're not coming in below, we're coming in at the low end of the range. And as you can see in 2013 and 2014, we performed above the range and this year, for a number of factors, we will be a little bit below the range but when you add it all up, it will be at the range. In terms of the factors where we're performing a little bit below the range this year, one local FX impact, right, I mean, you saw that very clearly, that is a big impact, it's two PPT at this point in time on the top line, yes, it gets somewhat offset by the expense line and you can actually see from an EPS point of view, we're navigating through that headwind relatively well. Secondly, when you look at gas prices, right, gas prices have a big impact, you guys know from a volume and from a transaction point of view in the United States, it's really important to be looking at that and we're going to feel through something like that too. So those are, I think, the two big ones.
Ajay Banga - President and Chief Executive Officer: I guess the only thing I'd add to that is, you know we've told you that we've got in this particular year these big renewals which are coming front loaded so that has a minor impact. But don't conclude that it's all due to the economy. It's first of all, struggling through those local FX rates, there's a lot there because we talk to you, ex-FX just takes out the Real and the Euro, but remember all of the other currencies and we work our way through those all the time. So that's got a big chunk in there and then of course there's the gas here, and there's all these economic ups and downs. But you're trying to figure out where this is going. Where this is going, you'll get to know when we do Investor Day, but I don't see, and neither does Martina, any fundamental change on the underlying dynamics or the kind of business we're doing this year versus the prior two years, not at all.
Operator: Your next question comes from the line of Bob Napoli from William Blair. Your line is open.
Bob P. Napoli - William Blair & Co. LLC: Thank you. Good morning. I was hoping you could give a little color on some of the mix of the growth of your business if you would, the large commercial, commercial has been a big growth driver for you guys in the U.S., are you seeing any – globally any different trends on the large commercial versus small business and then are you seeing – is prepaid still a big global growth driver?
Ajay Banga - President and Chief Executive Officer: So commercial is a driver still across the world. It's not just large commercial. Inside our commercial business, it certainly is some of the large commercial businesses but also there's all the small business and there's portions of business we're doing where we use MasterCard virtual card number capability to intervene in the flow between businesses. So there's a number of things inside the commercial business. And maybe one of the things we could do at investor day is to give you guys a little more insight into the different things we're doing around the commercial business, and we probably should do that. But it's got more than just the large commercial insight. I actually continue to believe that we have a real opportunity for growth as a company in that space because we have a series of good assets that we've put together from our virtual card number capability to our ability with our acceptance being superior to that of certain other brands which will remain unnamed to our ability to do business across the world with one technology across all the regions. There's a number of advantages there which I still believe commercial has that we can play with. It's our data capabilities with smart data. There's a whole series of these. So I still think of that as a big and decent opportunity. On prepaid, yes, prepaid has been growing well over the last three to four years. I just referred to prepaid when we talked about the acquisitions and the help we got from Access Prepaid Worldwide to help us in the prepaid program management business. I consider that to be an opportunity still for various reasons. One of those is there's an increasing desire across the world to get to the underserved in financial inclusion terms. Clearly prepaid is the best product in some form or the other whether delivered on a card or delivered on the phone or delivered through a fingerprint for that population. It reduces the risk. It's more appropriate for governments to transfer benefits, it's better for NGOs, the whole lot. So I think you'll see numbers grow there. Those tend to come with lower economics because those people tend to take out cash first and use the point of sale later in their development cycle. But this is all part of our ways that growth is added. So yes we're getting a mix of growth from commercial and prepaid and I think commercial will keep growing and I think prepaid will but with different economics from commercial.
Bob P. Napoli - William Blair & Co. LLC: Thank you.
Barbara L. Gasper - Executive Vice President & Group Executive: Operator, I think we have time for one last question.
Operator: Our last question comes from the line of Andrew Jeffrey from SunTrust. Your line is open.
Andrew Jeffrey - SunTrust Robinson Humphrey: Hi. Good morning. Thanks for sneaking me in. Quick one, Martina, I noticed the number of Maestro cards is down year-on-year. Is there anything to call out there? And are EU regulations something that are driving that?
Martina Hund-Mejean - Chief Financial Officer: Andrew, it has nothing to do with regulations but it has rather to do with what we can do with certain customers to be moving them from the Maestro product to the MasterCard debit product. MasterCard debit product has more functionality and so we have, in a number of countries, like Poland, Russia, Brazil, a couple of other countries, we have those customers really moving over to MasterCard debit card and that's all you're seeing.
Andrew Jeffrey - SunTrust Robinson Humphrey: Okay. To your benefit, I take it?
Martina Hund-Mejean - Chief Financial Officer: Yeah.
Ajay Banga - President and Chief Executive Officer: Yes.
Martina Hund-Mejean - Chief Financial Officer: Absolutely.
Ajay Banga - President and Chief Executive Officer: It's something we'd like to do more of, and like to encourage in some cases, but also having Maestro so we end up with a benefit of having a two-brand strategy in debit.
Andrew Jeffrey - SunTrust Robinson Humphrey: Thank you.
Ajay Banga - President and Chief Executive Officer: Great. Well thank you all for questions. I'm going to leave you with a couple of closing thoughts. You know, we just talked about this in the Q&A but the world economy continues to be complicated and things aren't completely clear yet but the U.S. looks to be in better shape and people aren't yet spending all of their savings from lower gas prices, as I was explaining in response to Sanjay's question but it's there. They are spending ex- that gas and I believe you will see improvements in that. I think Europe is slowly improving but the Russian economy remains challenged and that's a fairly large economy around the world to have that challenge in. And Asia and Latin America, markets with economics problems as well. Currency moves have added to the challenges. I think we're managing our way through it with tight cost controls. The strong underlying dynamics of our business remain unchanged. Our momentum continues, we are launching new products, we are working with the digital giants, we are working with banks, getting new deals from them, we're building new relationships with merchants, we are acquiring things to help us cement those relationships. That's all good stuff. We are very focused on all of the right things. And so thank you for your continued support of the company. Thank you for joining us today.
Operator: Thank you, ladies and gentlemen, for participating. This concludes today's conference. You may now disconnect.